Operator: Good morning, ladies and gentlemen and welcome to the Bombardier Third Quarter 2015 Earnings Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Yan Lapointe, Manager of Investor Relations. Please go ahead.
Yan Lapointe: Thank you, [indiscernible]. Good morning those on the call and thank you for joining. This management discussion has been arranged to review our performance for the third quarter of 2015. We will invite institutional investors and financial analysts to ask your questions following management’s comments. Today Alain Bellemare, President and Chief Executive Officer and John Di Bert, Senior Vice President and Chief Financial Officer will provide performance highlights, which include recent strategic actions as well as discuss the financial results for the third quarter ended September 30, 2015. This conference call is broadcast live on the Internet and is also translated into French and English. For copies of our earnings release and supporting documents or to retrieve the webcast archive of this call, which will be available later today. Please visit our website at bombardier.com. Slides for this presentation in English and French are also available. All dollar values expressed during this conference call are in U.S. dollars unless stated otherwise. I also wish to remind you that during the course of this conference call, we may make projections or other forward-looking statements regarding future events or the future financial performance of the corporation. Several assumptions were made by Bombardier in preparing these statements and we wish to emphasize that there are risks that actual events or results may differ materially from these statements. For additional information on such assumptions, please refer to the MD&A released today. I am making this cautionary statement on behalf of each speaker whose remarks today will contain forward-looking statements. I will now turn over the discussion to our President and Chief Executive Officer, Alain Bellemare.
Alain Bellemare: Thank you, Yan, and good morning, everyone and thank you for joining us today. We are pleased to be with you to discuss the action that we have taken so far to strengthen our management team to assess and de-risk our key development programs and to solidify our liquidity position. In fact, the announcement this morning of $1 billion investment from the Québec Government in the C Series is a key milestone towards ensuring program success and strengthening liquidity. With this our liquidity position is solid and it will be further strengthened in the coming months as we continue to execute on our plan. I feel confident about our liquidity going into 2016. Before going any further I would like to introduce our new CFO John Di Bert. John joined Bombardier on August 10, and he became rapidly involved in shaping our renewed financial strategy. He is an accomplished executive recognized for his discipline and business acumen in finance. I have had the opportunity to work with him in the past on many successful projects. And I'm very excited to welcome John to our team. With his arrival and the appointment of airline industry veteran Nico Buchholz as Chief Procurement Officer our management team is strong and fully engage. After just a few months our leaders are in control of their organizations and are making necessary changes. Together we have conducted in-depth reviews of all main development programs with deep dive into every aspect from supply chain to operations to financials and we now have a much clearer picture of this situation. As a result we’re taking actions to strengthen Bombardier for a long run. Earlier today we announced our decision to cancel the Lear 85 program due to lack of sales from a prolonged market weakness. This results in a $1.2 billion charge in the third quarter. Although, this is a difficult decision given the years of effort and hard work put into the program, it is the right decision given the market dynamics for this segment. Bombardier remains the largest business jet manufacturer in the industry with 33% share of deliveries and a portfolio of products ranging from the light to large categories. In Q3 Bombardier business aircraft recorded one of its best quarters in years with 41 gross orders. Overall, we are confident in our ability to maintain market leadership and provide strong value to customers with our best-in class aircraft. Moving forward the team will continue to look at opportunities to further bring the value from our great products to customers and to improve margin. At commercial aircraft following a comprehensive review of the C Series program a $3.2 billion charge was recorded in the third quarter largely driven by schedule delays and related costs. Let me be clear we are committed to the success of the C Series. The C Series aircraft is the benchmark in the 100 to 150 seat class segment and it is exceeding performance targets. Certification is over 90% complete some production aircraft are already moving down the assembly line and are teams are working closely with Swiss International Air Lines to ensure a flawless entry into service. In parallel, our new sales team is fully engaged and we’re gaining traction with potential customers. The value proposition of the C Series will bring significant benefits to airlines. As I mentioned we’re also excited to announce that the government of Québec will invest $1 billion in the C Series program. This partnership is excellent news, we now feel more confident than ever in our capacity to bring this program to fruition. The market is there our leadership team is in place. We have the best products and with the support of our partner we are well-positioned for commercial success. Turning to Bombardier Transportation, we are a global market leader with a local production presence in over 20 countries and a $30 billion backlog. We have the broadest portfolio of products and services and the largest engineering organization in the industry. Consistent with our strategy we are pursuing the placement of a minority stake in Bombardier Transportation. The strength of our investment case and the excellent outlook for our business were both acknowledged in our conversations with potential investors and we expect to make an announcement soon. As you can see our leadership team is taking a proactive approach to de-risk Bombardier. Since the launch of our transformation plan in the second quarter, we have completed a bottom-up assessment of the changes needed to achieve positive levels of cash generation and margin expansion. Our teams have identified key initiatives to deliver significant cash savings over the next five years. These initiatives are either in the validation or in the execution phase. Our focus is currently on reducing inventory and product costs, which represent important drivers of our future competitiveness. When we get together in New York on November 24 we will provide more color on our strategic plan, our transformation plan and progress on major initiatives. I will now turn it over to John to present our results.
John Di Bert: Good morning everyone, and thank you Alain. As CFO, one of my priorities will be to develop and provide financial transparency to our stakeholders, so that each of you have a better understanding of our operational and financial performance including the challenges and the opportunities we encounter, our guidance and key performance indicators. Together, as we move forward transparency will be consistent and aligned with our collective dialogues. This quarter’s conversation has been consumed with our liquidity position and cash performance. To be brief, our third quarter ending liquidity was $3.7 billion and we are projecting year end liquidity to be approximately $4 billion. This liquidity position does not include the $1 billion cash investments from our announced partnership with the government of Québec bringing us the pro forma cash total of approximately $5 billion. In addition, our CapEx and free cash flow used year-to-date is $1.3 billion and $2.4 billion respectively. I have more to add to this discussion in the coming slides. With that let’s get right into our other consolidated third quarter financial results. On Chart 5, first we generated $4.1 billion of revenue. This is lower than the same period in 2014. This decline was primarily attributed to good areas of our business. First, unfavorable currency translation within the Transportation segment and secondly lower delivery to commercial aircraft, where we had 14 deliveries as compared to 26 in the third quarter of 2014. Performance within our other segments yielded results that are in line with our expectations. Order intake for the quarter was strong. The year-over-year transportation bookings doubled relative to the third quarter 2014. We reported a book-to-bill of 1.1. With gross order intake of 41 jets, Business Aircraft recorded one of the best quarters in terms of sales to traditional customers in many years. Business Aircraft also delivered 43 units compared to 45 in the same quarter last year. Year-to-date deliveries including commercial aircraft totaled 191 aircraft and we are on course to deliver on our guidance of approximately 290 aircraft this year. At $61.8 billion our backlog continues to be strong and we will continue to fuel long-term revenue growth. Operating profit for the quarter was approximately $175 million prior to higher inventory write-downs including a higher write-down in pre-owned business aircraft. A one-time adjustment of used spare inventory on a commercial aircraft and higher losses related to early production units at C Series. After these valuation adjustments, our EBIT before special items was $75 million. Reported EBITDA margin of 1.8% was comprised by 240 basis points as a result of the above adjustments. Compared to last year, EBITDA was also impacted by lower margins enrolling stock and large business aircraft now withstanding third quarter results we are in line to meet our full year guidance. Net financing expenses increased by $66 million as a result of higher interest following the issuance of long-term debt earlier this year. Also a fair value loss on aircraft loans and receivables is reflected in financing expenses. This loss has been reported as a special item. I’ll be looking at opportunities to monetize these non-core assets as we go forward. At $136 million income tax was $90 million higher than last year. This is due to non-cash rate down the deferred tax assets. Mainly related to the reorganization of the Bombardier Transportation in preparation our minority placement, this was also reported at a special item. As Alain mentioned we are taking action. Following the recent completion of detail reviews of our programs and operations we have reported non-recurring charges mainly non-cash in areas outlined on Chart 6. First, subsequent to an in-depth review of the C Series program we recorded a special charge of $3.2 million which is mainly attributed to the capitalized program development cost. Following this assessment we are confident to the program will you strong return on cash flows and we are now focused on its commercial success. Second following our decision on Learjet 85 we are rating down the remaining program assets. And finally, we are adjusting the level of provision on credit and residual value guarantees to reflect current market condition. I look forward to addressing your questions let me review the accounting actions but to be brief. There are aligned that our action entered approach to establish a strong foundation and which we will transform the business and focus on the following areas. First disciplined aircraft development, second growth from new product deliveries, third margin expansion and of course cash generation. In short, we are focused on delivering enterprise-wide value. Chart 7 briefly outlines the relationship which was announced this morning. We have a great product and we are excited to put into service, the Government of Québec partnership on the C Series program will strength in our liquidity position with a $1 billion cash infusion in the second quarter of 2016. Combined with excellent aircraft performance, the developing sales pipeline upcoming certification and subsequent entering the service with SWISS International Airlines this investment provides further moment the C Series program. We are very proud and we are excited about the partnership. Together we will launch the C Series program to commercial success. Now, there’s been a lot of discussion regarding our cash performance, but I would like to clarify the facts and look ahead on both our cash spend and our liquidity. On Chart 8 we’ve outlined our year-to-date liquidity position, which close at $3.7 as of September 30. In the third quarter our free cash flow performance was usage of $816 million and an included PP&E and CapEx at plan rates of $500 million. Let me be clear the outflow of cash is largely on target for all of our businesses. Our cash management including CapEx I am confident to see us disciplined well align to our program objectives and remains in line with our plenty assumptions with 2015. This said the decision to decrease the global 5000 and 6000 production rate, is resetting the level of advances at business aircraft resulting and lower cash flow from operating activities for this year. The cash impact of the reset represents about $1 billion in 2015 and it will not be recurring next year. It safe to say that will impacting cash this year adjusting the supply and demand was the right decision and it protects the brand value for the long-term. Well free cash will remain negative through 2016 and 2017 even with the C Series ramp up and continued development of the global 7000 and 8000 I do expect free cash flow to improve significantly next year. Over the next few years we will also see meaningful contribution from our transformation plan and from the lower Canadian Dollar on a cash flow from operation. Moving to Chart 9, coupled with the transformation effort led by Jim Vounassis, we are focused on discipline cash management. We will take the right actions to improve our level of cash flow consistency and capital efficiency across all segments. Our third quarter 2015 liquidity of $3.7 billion will be the low point for the foreseeable future. As I expect positive free cash flow in the fourth quarter and I am also expecting free cash flow usage of $1.9 billion to $2.2 billion for 2015. Our resulting liquidity position will be around $4 billion at the end of the current year. In addition, in the first half of 2016 the investment of $1 billion from the Government of Québec in the C Series program as well as the cash infusion from minority placement in Bombardier Transportation we will provide further liquidity strength. With these planned initiatives I am confident we have the right level of liquidity to executive our strategy and long-term plan. As I move to Chart 10, I want to reaffirm our full year guidance. All of our previously guided indicators for 2015 remain unchanged. The year-to-date margin, revenue and earnings aligned with full year guidance incorporating our fourth quarter forecast. Turning to Chart 11, I want to leave you with my perspectives on our transformation efforts. Our financial transformation efforts are aligned with three key areas of discipline, excellence and operational performance, disciplined cash management and growth and earnings and margin expansion. I am encouraged by the progress we are making to our identifying opportunities. Developing action plans and validating corresponding, financial benefit. Action oriented reviews have begun in each segments in order to create a results driven roadmap. Among the areas of review, our inventory efficiency grew improvement in manufacturing lead-times and supplier management. Working capital productivity including accounts payable, receivable and advancing. Manufacturing overhead reduction to the optimization of our fiscal footprint and product cost reduction by an acting supply chain efficiency. They will also be into company efficiencies of scale that we plan to leverage including the identification of synergies, between aerospace and transportation businesses in areas such as indirect services and non-product spending. Let me give you an example of an early win. Recently after review of our IT services agreement, we were able to consolidate activities and through a re-tender process, we have secured immediate and significant savings. Lowering our IT costs, starting in 2016, we’ll have more comprehensive discussion around all of the transformation next month. We are taking the right steps to stabilize the business and strengthen our liquidity. I'm thrilled to be joined in this team of experienced executives. We have great products and a talent to execute on our plan. I have every confidence in our future. With that [indiscernible] will turn over to our first question.
Operator: Thank you. [Operator Instructions] Our first question is from Kevin Chiang from CIBC. Please go ahead.
Kevin Chiang: Hi, thanks for taking my question. Maybe some of the C Series write-down $3.2 billion, if I recall that’s almost equal to original CapEx budget for the program. And I’m just wondering does that maybe implicitly suggest that the outlook for the program continues to remain challenged and maybe your decision to move forward is more of a function of the existing of some cost in the program and the government investment versus maybe an improving outlook?
John Di Bert: Yes, Kevin, I will take that question. This is John, thanks for asking it. So when the team here has been really doing a deep dive on all of our programs. And I think you know what we take away from the C Series, we have a great product, a great program, and there is lots of momentum building up. And we have done a thorough review I have gone through all the financials on the program itself. What we are really focused here on is the power of the future cash flows and the returns that we see against those cash flows. After a review of the program we see really strong returns on future cash flows. And we have basically sized the book value to that amount, obviously in conjunction with the investment with Québec, we believe now, we have the right valuation as well as the ability to generate strong returns on those investments going forward.
Kevin Chiang: Thanks, for the color there and maybe just quickly, have you spoken with your customers or existing C Series customers, potential customers on the write-down and I guess the government investment and any feedback or concerns from them?
Alain Bellemare: We have basically mentioned to our customers that we were working to strengthen our liquidity position at Bombardier was not going anywhere that we would be there for the long run for them. The Avnet or the specific as I mean we are just disclosing it this morning. But we've been staying very close to them all along. So obviously today will be an opportunity to get back to them and share like more detail with every single one of our customers.
Kevin Chiang: Thank you. That’s it from me.
Alain Bellemare: Thank you.
Operator: Thank you. Our following question is from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Thanks, good morning. My question just on free cash flow you did mentioned that you expected to be still user of free cash flow in 2016, 2017. I’m just wondering if you look at 2016, if you can maybe discuss the puts and takes there and try to get a handle what the magnitude of the burn will be in 2016. I mean I guess you’ve got less stand on the C Series developments, you’ve got this reduction in cash flow from the – equity cash flow that won’t recur from the Global production rate change, but you’ve also got on the negative side the ramp up in the C Series and the learning curve impacts. So I’m wondering maybe if you could just really provide a little bit of color on the puts and takes in 2016 on free cash flow?
John Di Bert: Well, Cameron I think thanks for the question; you did a pretty good job of isolating some of the key items there. I mentioned that 19 to 22 this year so I think would you take away from that is that you’ve got that resetting the program I quantify that at $1 million maybe $1.2 billion. So all in we expect that Global and C Series I’d say cash utilization for those programs will be consistent year-over-year and we expect the businesses to continue to perform underlying operating cash flows. So you can sort of do a little bit of math for yourself there, but I say that you got a good sense for what 2016 looks like by just all three elements.
Cameron Doerksen: Are you going to be providing at some point some indication as to how many C Series aircraft you are expecting to actually build in 2016?
Alain Bellemare: Yes, we have like – we worked on a ramp up of the C Series, next year it’s going to be probably in the range of about 20-ish 15 to 20, we are finalizing the schedule right now based on customer commitments and thereafter we’ll have like a gradual ramp up to full production rates.
Cameron Doerksen: Okay, thanks very much.
Alain Bellemare: Welcome, thanks.
Operator: Thank you. Our following question is from Ron Epstein from Bank of America Merrill Lynch. Please go ahead.
Ron Epstein: Hey good morning. Thank you for taking my question. So Alain, can we maybe step back, take like a big, big picture question for you. So you’ve had sometime to review everything so here we are we get to this quarter where the company is basically reporting a loss that’s almost two times the market cap. My first part of the question is how did we get there I mean like how did it possibly get so bad, one. And then two, how can investors be confidence that this won’t happen again when the corporate governance really hasn’t changed, you still have the same board. So I mean how do we think about that?
Alain Bellemare: Good morning Ron and thanks for the question. And I think it’s a great opportunities for me to clarify what I’ve seen so far, where we are and where we are heading. I would say the quarter and year was not as bad as people think. The biggest downside that we’ve seen in 2015 is really the rate adjustment on the Global where we were producing, we are in line to produce about 80 or so Global 5000, 6000 and we have reset that down to 50 aircraft. So I mean we are basically cash outflow driven by the width coming into the system and at the same time the advances from customers were not coming in. So there has been a $1.2 billion impact in 2015, if it wasn’t for that our cash position without any initiatives – strategic initiative that we have done would still have been very good, very solid. We took a lot of significant write-off this year. If I go back in time I would see it’s pretty consistent with what I’ve seen in the early days. This is an organization that took a lot. I mean we add like multiple programs running in parallel and that was very challenging for an organization of our size so we add the Lear 85, we were improving our existing Challenger 300 and 605, we add the C Series 100, 300, we add like Global 7000, 8000. So the organization was overwhelmed by the number of programs. I mean this is much different to today. The upgrade of our Challenger 300 and Challenger 605 have been completed. We have cancelled the Lear 85; we have redeployed the resources to focus on the C Series and the global 7000 moving forward. C Series is getting close to certification, so now we can it be moving from the development cycle and through the production ramp-up phase. So the organization and a business has been significantly de-risk and that your comment about government I would have been with the organization for eight months have been getting all the support needed to take the right decision to ensure long-term success of the company without any pushback. So we have very supportive board and the people want long-term success of the organization and we are committed to bring value to our customers.
Ron Epstein: So I mean but I still addressing the second part of the question, you have in the same board that left us all happen in the first place and you had a comment and kind of cleaned up I mean how can both equity and the investor feel comparable but the boards can make right decisions?
Alain Bellemare: I think proof is right here today. If you look at what we are announcing today I mean we are stepping programs, we are taking write-off, we are raising more money, we are establishing a strategic partnership with the Québec government that will add $1 billion straight into the C Series program where it’s needed to make it a very successful commercial. We are moving forward with minority placement into BT of these actions have been and continue to be supported by the board. So I mean there has been significant discussion tremendous support and as I said Ron I mean you’ve got people here that have only one thing in mind is like long-term success of the organization. So honestly I cannot change the past but one thing that I can tell you is we are fully supported there has been management changes done by the board, done by the family, I mean we are in place and we are fully supported by all of them and then I feel that we have the lead way to drive the business and take the right and the best decision for long-term success of the organization. So I feel good about where we are and we’re going.
Ron Epstein: Okay thank you.
Alain Bellemare: Thank you.
Operator: Thank you. The following question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes, thank you very much. Good morning gentlemen just on the C Series could you mentioned a little bit the impact of the right off on the profitable the breakeven point. I am just wondering whether it could significantly boost the margin going forward and when I see the outlook for 2015 it seems unchanged despite the big right down that has been taken. Thanks.
John Di Bert: Thanks Benoit. So I would say that the C Series program ramp up will happen over the next three to four years and then – as we get into the backend here of our five year plan we see as most large aircraft programs we see profitability and cash flow generation –positive generation I take color around 20/20, 20/21 for the program. And yes, this adjustment obviously we will help our earnings per share relative to the margin on the program on a go forward basis and don’t – as I mentioned before what I am really focused on is also the strength of the return on those future cash flows we see that is significantly better in our hurdle rates and the double digits IRR on the program from here on in.
Benoit Poirier: Very good color John. Thank you.
Operator: Thank you. The following question is from Tim James from TD Securities. Please go ahead.
Tim James: Thank you, good morning. Just want to turn to the business jet market for a moment. I was wondering if you could provide some color on the outlook for the market in particular 2016 just buy segment by the three segments. Thank you.
Alain Bellemare: So when you look at it segment-by-segment like so good for next year in line pretty much with what we’re seeing this year, same thing on that the Challenger, our Challenger 350 and our new 650 very solid. And on the global, I think that the rate adjustment that we've done is at the right place. So I think that we are, we have adjusted and supplying demand moving forward. So all in all I think that we’re pretty much balanced. I mean there was a reset this year and as we firm up our plan for 2016 we will do the necessary tweaking but that's what we’re talking about now.
Tim James : So are you seeing any sequential change in demand in either the light end of the market or the mid end of the market?
Alain Bellemare: No, I think that - on both the light segment and the medium-size, I mean has been pretty consistent and like I said I mean we have best in class products and when it comes to that the midsize with the Challenger 350 doing extremely well. And it has been doing well, continue to do well and we have a solid backlog moving forward. So we feel good about these and like I said same about our – the large segment we believe with the great, Global 5000 and 6000, feedback from customers is very, very positive. They are best-in-class products they bring tremendous value to customers and the marketplace. There is a strong demand for them, we needed to adjust the supply in line with the market demand, and we’ve done it, as little bit difficult as you have seen from cash flow in 2015. But I'm glad we’ve done it and that will be behind us in 2016 and we will be at the right place moving forward to preserve the value of our great franchise.
Tim James : Thank you.
Operator: Thank you. Our following question is from Seth Seifman from JPMorgan. Please go ahead.
Seth Seifman: Thanks very much and good morning. I wonder if you could talk about, how much of the - in business jet how much of the write-down of pre-owned jets detracted from even in the quarter. And then maybe a little bit about the write-downs, inventory write-downs on the C Series not the write-down on the program. But the production related write-downs.
John Di Bert: Thanks, for the question. Yes, that did impact our operating profit and none of these were obviously special items. There was about $100 million that that would have affected our year-over-year performance on earnings. And I say that the business jet piece of it was probably half that, well maybe you know $40 million of it. And then you talked something in the similar range for the parts write-down we took on some CRJ used material we had on hand. Year-over-year the C Series program is the remainders in $20 million, $30 million. And that really is not – it’s not a, its evaluation write-down relative to the fact that we have early units that will have cost in excess of price. And so as we receive inventory, we take the adjustments on evaluation to reflect the eventual delivery at a lower price until we ramp up the curve in future years and then hit the target costs.
Seth Seifman: Great. Thanks, very much. And then Alain, could you talk a little bit in the time that you’ve been at Bombardier, as your view of where the C Series belongs in the market and sort of what the most promising customer sets are either the type of airline or geographically or anything like that. Has that been refined at all in your time of Bombardier?
Alain Bellemare: Yes, absolutely. I think that I saw significant opportunity for the C Series in the 100 to 150 seat class segment. And I think this is being confirmed right now in our discussion with potential customers, there is tremendous interest for an aircraft that is actually performing because we’re the only new aircraft in that class and the customers are seeing a significant need for an aircraft that would bring lower trip cost for equal seat mile cost between 100 to 150 seat class. So very good discussion, like I said I think that we had a few issues before I mean first of all people didn't think that we could certify the aircraft, I mean the management team and the sales force was a little bit challenging. If you look at what we have done so far we have an aircraft that will be certified soon with better than expected performance in term of fuel burn, in term of range, in term of payload, it’s a very low noise footprint so great product. The other thing as we have strengthen the management team and we have put in charge people with Fred Cromer and Colin Bole that are very capable, very knowledge about the airline industry to supplement the great people that we have in commercial aircraft. So we have the right product, we have the right team and we are regaining confidence with our customers both existing and also future potential customers. So I feel good about the work that we've done. We knew that there was going to be significant challenges in stepping our game up, we've done it, we continue to do it, there is more to come, but I feel that we have – we are at the right place today and we will get more traction moving forward.
Seth Seifman: Great, thank you very much.
Alain Bellemare: Thank you.
Operator: Thank you. Our following question is from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun: Yes, good morning. On the C Series I mean the write-down today of developing cost I guess is non-cash. I was wondering you have been able to identify a path to reducing cash cost for the C Series and all just to improve its competitiveness. And secondly how should we think about this deal today with the Québec government in terms of impact on the prospect for orders going forward?
Alain Bellemare: Let me take it. It’s Alain, good morning and thanks for the question. I think that having a partner that inject liquidity $1 billion which is a significant amount to propel the aircraft to full commercial success is a big deal and will be well received by our customers. It gives confidence, it’s all about giving confidence that the C Series will be there and that Bombardier will be there to support these progress that are going to be in service for many, many years. When it comes to the write-off as you said I mean that was a non-cash write-off. And moving forward what the team is focused on is operational performance so we are working it out, we optimize our assembly process or do we reduce our manufacturing costs, or do we reduce our supply chain costs and that is the reason why we have continued to strengthen the team, that’s the reason why we have appointed nickel because deep experience in aerospace as our Chief Procurement Officer, Nico because who has got deep experience in aerospace as our Chief Procurement Officer. Nico is going to be working with the business aircraft people with the commercial aircraft people, strong focus on our existing as well as our new products including the C Series. So moving forward now it’s all about operational performance. This is something that we've done before I mean we know how to do and this is what we are going to be doing, because we have the right team now to execute.
Fadi Chamoun: Okay and just sort of technical thing. The $1 billion Québec government, is this for the exclusive use of the JV?
Alain Bellemare: Yes, strictly into the joint venture of the C Series, yes.
Fadi Chamoun: Okay, thank you.
Alain Bellemare: Thank you.
Operator: Thank you. Our following question is from Turan Quettawala from Scotia Capital. Please go ahead.
Turan Quettawala: Yes, good morning. I guess my first question on the C Series I guess the inventory write-down are the dilution. John I think you talked about 2020, 2021 as being the potential for profitability, in the past you've talked about $500 million write-down on the program. I assume that’s going to be much bigger, can you give us some color on that please?
John Di Bert: Turan, I not really understand the $500 million comment in terms I just maybe take the first one first and then if you want to sort of reposition the question. With respect to the actual profitability on a per unit basis that have happened before five year as you roll up all the program costs including any support in improving cost so on and so forth. I expect that to be cash positive as we get to 2020 and 2021. So that would be I guess the commentary around C Series. I'm not sure I got the other part of that question.
Turan Quettawala: I guess in the past the company had talked about that loss from the C Series sort of being about 500 million as the ramp up period continued and I am wondering if that number is changed?
John Di Bert: Okay, okay I guess not to be misunderstood we mean loss I mean used of working capital.
Turan Quettawala: No I mean the income statement the gross margin loss because the production cost is more than the pricing of the aircraft.
John Di Bert: Yes, I don’t have a number for you today Turan, but I mean it’s in that kind of assessment of the return to profitability in terms of unit cost probably by at three years or so from production and then positive cash by 20/20. So in terms of the P&L impact itself by have a nice number I can get back to you.
Turan Quettawala: Okay thank you.
Alain Bellemare: Turan reinforce by John said I think that what we’re seeing his writing for positive breakeven cash flow point on the program by 20/20 in that range which is very typical of any new large commercial aircraft development it takes about five years you know to come down the learning curve and so that’s the challenge that is in front of us it’s a normal challenge for a new program and I think that if that is your question all of this has been built into our five year plan and it's part of our cash flow forecast moving forward.
Turan Quettawala: Thank you. That’s helpful and if I may just quickly on the aerospace side you obviously done a few things here in terms of making changes but the C Series and Lear 85 program I know this is part of sort of bigger strategic review for the company is it fair to assume this is sort of the last move or all the moves that you have been thinking about on the aerospace side or could that be more to come here in the future.
Alain Bellemare: I think what we've done so far we have addressed some of the most significant challenges that we add in front of us I think that we are a good place and we will continue to look at how we further optimize that the business as you know Turan it's never finish. I mean when you you're done with something then you move on to the next phase it continuous improvement saw we feel good about that the actions that we have taken so far we believe that we are in good place now and like I said we haven't much better understanding of the challenges as well as the opportunities in front of us I think that know the difficult decisions have been made. Now we want to turn our focus towards optimizing the performance of the business and we will continue to take the right decisions moving forward.
Turan Quettawala: Fair enough, I guess but my question was more in terms of strategically of these are programs are going to keep or there more you could sell is there still more that you could do on that side or you thinking about doing on that side.
Alain Bellemare: Yes, I think that you will understand that I've been very clear and very consistent we are looking at strategic opportunity both on the train side as well as on the aerospace side I will not speculate on these initiatives or opportunities moving forward and we want to be trust clear and transparent with and that's what we're doing today we’re making no decisions and as it relates to our programs which basically are fundamental building blocks for us to get the business to a great place moving forward. So when it comes to other things we will see where it goes and we will keep you updated as we are making progress on these.
Turan Quettawala: Okay thank you.
Alain Bellemare: Thank you.
Operator: Thank you. The following question is from Walter Spracklin from RBC. Please go ahead.
Walter Spracklin: Yes, thank you very much good morning, everyone. My question is on the Québec government $1 billion dollar investment they know have just under 50% stake does that mean they will be equally responsible for future capital injections to fund the completion of and the ramp up of the C Series going forward.
John Di Bert: Hi, Walter. This is John. So in terms of the actually partnership we structured with them. They have a 49.5% equity stake that $1 billion goes into the partnership will be used by the partnership to bring the C Series to full production. And obviously, commercial success with respect to any future cash funds that would be required in excess of the billion dollars, those would be coming from Bombardier and we would like be diluting the equity share to that government. That doesn’t mean that there can be other further conversation, but ultimately that’s our plan right now continue to support with our own equity issuance as well over time.
Walter Spracklin: Okay. That makes sense.
John Di Bert: One thing also maybe just add in terms of the participation and maybe also [indiscernible] question prior is that an equity partner, they will participate in the P&L and therefore there is some positive dilution to Bombardier from that.
Walter Spracklin: Next question is just – can you give us some explanation to the media reports that came out over the last few months, certainly what I am hearing from you today is consistent with what you have said in the past with regards to your comfort in the C Series, your view of the prospect of and it’s place in the market. I was just very surprised for example to hear in your confirmation that you wanted to talk for controlling stake sale of the C Series to Airbus. I mean can you explain that kind of strategy to us given what you are coming out with here today him and how reaching out Airbus would have fit that view?
Alain Bellemare: You understand Walter that we are going to speculate again on rumors or potential strategic discussion. The thing that I want you to know is that we have a responsibility as leader of this organization to look at all opportunities that could make sense and great value for shareholders, this is our roll, this is what we do. I feel that we’re making the right decisions today, we’re very excited to get the government of Québec and that is going to help us unleash the full value of the C Series moving forward.
Walter Spracklin: So, if I can just do a quick follow-up – if the Lear 85, this is a brand-new plane, it’s near completion right on the verge of test flight and now it’s going to scrap, isn’t there a – wouldn't you consider give that Lear tend to be or looks like a little bit more separate from Bombardier, when that be the one the most right for sale of that division as opposed to scrapping what looks to be a very - well near completion aircraft. I am just curious of the decision making there?
Alain Bellemare: Well, I think there is two pieces Walter. The first pieces is the market in that segment is very soft and I mean when we look at the volume projection back then when the program was launched and where we are today, it's really challenging segment and then the program there was still money needed to be injected. And as I said earlier I mean the question from Ron was how did we find ourselves into that situation, well you find yourself in that situation when you have like you know too many initiatives, our project ongoing in parallel. So you look where is it that you want to focus what are the top priorities of the organization and then you look at the market challenge and for the Lear 85 and that’s the reason why we came to the conclusion that there was the market was not supporting further investment.
Walter Spracklin: Okay. All right, thank you very much.
Operator: Thank you. Following question is from Robert Spingarn from Credit Suisse. Please go ahead.
Robert Spingarn: So good morning I wanted to come back to C Series and the cash burn and see if we can just get through this is clearly in one overarching answer. So you have talked about the fact that you don’t get the cash flow positive on the overall program until 2020 or 2021 that's clearly going to take more than the $1 billion that's being injected into the JV. So here are a few questions are you putting any cash in at this point and what is the total cash burn required at this point going forward on C Series to take care of certification and all cash loss production up until that point in 2020. In other words what's the remaining cash burn on the program over this next 5 to 6 years and what does the cadence look like annually, what does the curve look like? Thank you
John Di Bert: Okay, so Robert thanks for the question. So first to be clear we are not putting any cash into the JV today, but clearly to your question we will require additional cash beyond the $1 billion. We estimate roughly $2 billion to take the program to cash positive generation and that over the next four to five years as I mentioned. The bulk of that cash requirement will come in 2016 and then 2017, 2018 and 2019, but ultimately the completion of our development program happens in the mid-year next year will then converts to production ramp up and using working capital and some of that is negative margin obviously. So I guess the answer is straight forward it’s about $2 billion over the next five years, 2016 being the big year of spend, 2017 continuing with some working capital ramp up and then tapering off in 2018 and 2019.
Robert Spingarn: So thank you John, that’s helpful. Should we think about that cash than that curve is basically getting divided in half annually over that four to five-year period? And then what is the number of aircraft contemplated in the business case that you use to negotiate the Québec deal and how many aircraft will we be producing until we get to this breakeven point 2020, 2021.
John Di Bert: I don't want to give I guess more color on that. I think it’s getting a little specific in terms of some of the competitiveness of the information that we are giving you ramp up and then the exact profile. I mean we can talk more about that when we looked into 2016 you will see a little bit more in our guidance and see specifically how we’ll spend, but the number will come down in the out years.
Robert Spingarn: Okay, thanks John.
Alain Bellemare: We have time for one more question.
Operator: Thank you. Our last question is from David Tyerman from Canaccord Genuity. Please go ahead.
David Tyerman: Yes, good morning. I just wanted to reconfirm this cash burn. John did you say the burn for the C Series this year is $1 billion to $1.2 billion and something similar next year and I think you also outlined the other major components that will affect next year. If you could just go over those again please?
John Di Bert: Okay, so basically the cash burn, total burn will be $2 billion through this year. Again as I said the business aircraft that will be $1 billion to $1.2 million non-recurring as we reset and adjust. From the C Series point of view expectation I call it just under $1 million in 2015 will have similar amount of spend next year and then I guess and that was the entirety of that I think your question beyond I mean I guess the only I would say beyond that as I mentioned $2 billion to kind of take it to program completion before we start to turn cash positive. And I guess maybe on the cash burn just all liquidity conversations that’s around that. I just want to reposition the fact here again that we’ll finish the year somewhere about $2.5 billion. We have $1 billion of liquidity coming from Québec and have $1.3 billion of liquidity in our revolvers. When you add that all together you’ve got $5 billion of liquidity in the beginning of the year. We are still fully on track to announce by the end of this year that will have completed IPO private placements of BT and that will bring us basically over $6 billion of full burn liquidity. So I think between the fact that we have $6 billion of liquidity going forward and the fact that we have a very defined strategy for the C Series in terms of the cash and ramp up. We are in good share to make this program successful and no liquidity concern whatsoever.
David Tyerman: Okay, that’s helpful. And just to clarify on the BBA, $1 billion to $1.2 billion this year where is it going next year is obviously much lower since that you don’t have the problem with the Global, but I didn’t get a number and ideal the breakeven or can it actually be positive?
John Di Bert: The question is around total cash flow for Bombardier in 2016.
David Tyerman: With business jets.
Alain Bellemare: Yes, as you said I think that you don’t have the same negative impact of the rate we set this year so it’s a little bit too early to say, because we are in the process of doing the plan for 2016 so it will be much better next year for business aircraft. David Coleal and the team are working on this as we speak; we are looking at all the ends right now, but clearly will be a much better year for business aircraft when it comes to cash in 2016.
David Tyerman: Okay and just other question was on [RPGs] on the provisioning went up quite a bit I guess the question is when does the cash go you got over $600 million now provision when does the cash go out and it sounds like the market breaking down on this you got a lot more exposure could this number become much, much larger over the next few years?
John Di Bert: Yes, so thanks David. So in terms of the assessments of our exposure RPGs I think we get a fairly good job of understanding where we are understanding with the possible obligation liabilities could be. In terms of cash and when it will be use this is a long-term liability right I mean this thing here is really over probably a 5-year to 10-year period that will be seen the outflows. And then just one also make another point here which is that Fred Cromer and his team of really identify this is as an opportunity both as we see it kind of risk here and our financials opportunity go out and strategize and mitigate what those liability exposures could be and so we are very confident they are going come back with some options on how to go out and manage the exposure and therefore limit the outflows over time.
David Tyerman: Okay very good thank you.
Alain Bellemare: Okay thanks David. So in closing, I really want to thank you again for joining the discussion today. To recap after just a few months and we have the right team in place I feel good about you know the talent that we have added to the organization we have a much clearer picture of what needs to be done and we have taken action and we will continue to take the right action to position Bombardier for long-term success. We have solidified our liquidity position and I hope that we could bring some clarity today and its giving us confidence to execute on our long-term strategic plan. So we look forward to seeing you at our Investor Day in New York on November 24. So again I want to thank you for being on the call. Thank you for your question and we look forward to seeing you soon.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.